Operator: Good day, ladies and gentlemen, and welcome to the Papa John’s Second Quarter 2014 Conference Call and Webcast. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. (Operator Instructions) As a reminder, today’s conference is being recorded. I would now like to introduce your host for today’s conference, Mr. Lance Tucker, Chief Financial Officer. Sir, you may begin.
Lance F. Tucker: Thank you, Candice. Good morning. With me on the call today are our Founder, Chairman, CEO and President, John Schnatter; COO, Steve Ritchie; CMO, Bob Kraut and other members of our senior management team. After a brief financial update, John and Steve will have comments about our business and the management team will then be available for Q&A. Our discussion today will contain forward-looking statements that involve risks related to future events. Actual events may differ materially from the projections discussed today. All forward-looking statements should be considered in conjunction with the cautionary statements in our earnings press release and the risk factors included in our SEC filings. And all statements made on this call are as of today. Please refer to our earnings release and the Investor Relations section of our website for reconciliation and other disclosures related to our discussion of non-GAAP financial measures on this call. Unless otherwise noted, all comparisons are versus the comparable period from a year ago. This call is being taped and a replay will be available for a limited time on our website in a downloadable podcast format. Now on to a discussion of our second quarter operating results. Our second quarter revenues increased 9% versus the second quarter of 2013. Driving the increase were continued strong comp sales of 6% for North America and 8.6% for International as well as a 5.5% increase on the number of units operating globally on a year-over-year basis. The higher North American franchise restaurant sales and increased unit count also drove higher PJ Food Service revenues as did higher commodity prices. We opened 47 net global units in the second quarter with 42 net international opens and five net North America opens. On a business segment basis, operating income for domestic company-owned restaurant was up over $2.5 million in the second quarter. Incremental profits from our 7.5% comps were partially offset by the impact of higher commodity prices. Operating income for the North America franchising segment increased approximately $500,000 in the second quarter, due primarily to the increase in net units and comparable sales of 5.4%. Operating income for our domestic commissary segment decreased by approximately $2.8 million in the second quarter, due primarily to lower gross margins and favorable insurance claims and costs associated with other commissary initiatives. As a reminder, cheese prices have a fixed dollar mark-up to our restaurants. We expect the commissary pre-tax margin percentage to approximate 2013 margins on a full year basis. Operating results for our International segment increased approximately $1 million in the second quarter, due primarily to 8.6% comps and a higher number of units on a year-over-year basis. And as a result in our corporate-owned North China market, we’re not improving at the pace we have projected entering 2014 and we currently project profitability in North China to be relatively flat for 2013 excluding the impact of one-time items that impacted fourth quarter of 2013. However, the strength of our overall international portfolio continues to more than offset this shortfall and provide good overall growth. We will continue to address our challenges in North China as we believe in the long-term opportunity in this market. The All Others segment decreased $1.6 million due primarily to higher infrastructure costs to support our digital ordering business and lower margins at our print and promotions business versus the prior year. Our effective tax rate was 32% in the second quarter beyond slightly from the prior year. Diluted EPS for the second quarter was $0.40, up 3%. The market share we are gaining through our strong sales bodes well for higher earnings growth once commodity has returned to more normalized levels. With 2014 commodities projected remain high; however, we expect full-year pre-tax margins to be slightly lower than 2013. We repurchased approximately $30.5 million of stock during the second quarter and the company has approximately $50 million of remaining share repurchase authorization. Our free cash flow and non-GAAP measure we defined as cash flow from operations less capital expenditures was approximately $57 million for the trailing 12-month period. Our net debt position, defined as total debt less cash and cash equivalents, was approximately $190 million at the end of the second quarter. As announced on August 1st, the company also raised its regular annual dividend by 12% to $0.56 per share. There is a lot of focus. Our new POS system is progressing and we expect the majority of the units to be installed by year-end. From a financial statement perspective, FOCUS costs reduced diluted EPS by a little bit over a penny in the second quarter versus the second quarter of 2013. Finally, the Company reaffirms as previously announced 2014 full-year diluted EPS guidance in a range of $1.64 to $1.72. However, several guidance items are updated including North America comp sales raised to a range of 4% to 6%, international comp sales raised to a range of 6% to 8%, consolidated revenues raised to range of 8% to 10%, and global net unit growth has revised to a range of $2.20 to $2.35 from a range of $2.20 to $2.50. As note in the prior conference call, we expect to be near the low-end of our original guidance range, so we reduce the top end of the range in this update. The mix of international units will be roughly 80% of the total global net new units. And now, I’d like to turn the call over to our Founder, Chairman, CEO and President, John Schnatter. John?
John H. Snatter: Thanks, Lance. Good morning to everyone. We’re glad you’re able to be with us on the call this morning, as we discuss our second quarter results. As you just heard, we posted another tremendous quarter and I couldn’t be prouder of our franchisees and our operators around the world. We continue to execute the fundamentals and deliver on that that ingredient that are Pizza brand promise each and every day. As you can imagine, we are very pleased with our performance, not only in the second quarter, but through the first half of the 2014 year. 6% North America comp sales in Q2 coming off a 9.6% Q1 comp. It is a clear indication that consumer continues to prefer a better quality of pizza. Those numbers also further validates that our strategies, which continue to focus on the consumer by delivering a better pizza to better ordering experience are fundamentally sound. In short from our quality, our digital capabilities to our new marketing creative, we are firing on all cylinders right now and we can generate a lot of momentum that continues a lead to increased sales and increased market share. But remember it all starts with quality and our consistent focus on it continues to resonate with the consumers. During the quarter for the thirteenth time in the past 15 years consumers recognize us as a leader in customer satisfaction by rating Papa John’s a number one in the American Customer Satisfaction Index Survey. And just two weeks ago, Papa John’s was named the top brand by the Landor Brand Asset, which uses thousands and thousands of consumer energies, covering things like a brand’s relevance, differentiation, and esteem to determine its ranking. These types of recognition are humbling and help us to stay laser focused on meeting the high expectation that our customers have placed on the Papa John’s brand. This is our quality leadership positioning and continues to help us gain market share, so we will do as our digital leadership position. 13 years after we were the first National pizza company that offer nationwide online interactions. We continue to set the pace in the digital arena. During the quarter, our domestic digital sales continue to climb to well over 45%, on the verge of being the first national pizza chain to achieve a domestic system-wide digital sales mix of over 50%. Additionally, during the quarter, nearly 60% of all domestic delivery sales, 60% came through our digital channels, which just like Q1 continues to be another pizza leading technology indicator for Papa John’s International. Now turning to our marketing, during the quarter we worked with our new agency gray, to launch a new advertising promoting our Greek pizza. The advertising which has positive perception from our system and our consumers helped to drive the excellent performance of the group pizza. Coming off a very strong 2013, some wondered why we would make a change in the direction of our advertising. Well, sometimes you have to have the courage and the foresight to recognize the opportunity to take something that’s really good, and make it really, really better. And I think we’ve accomplished just that. Our new creative strategy has elevated the brand and it’s taken something that was pretty darn good to a new level. Next, I like to briefly comment on our international business, which overall continues to perform very well. Our franchisees throughout the world continue to win by focusing on product quality and running their restaurants the Papa John’s way. And finally, with all the success we’ve had, Papa John’s had become a company of constant team member advancement in opportunities. A people growing machine, if you will. Over the past quarter we have made ten management changes with nine leadership promotions, including the promotion of Steve Ritchie to COO. Now, Steve, started out as a driver, at $4.50 an hour, more than 18 years ago. And working his way up as Director of Operations and then Vice President of Global Operations Support and Training to now COO, Steve is the ideal individual to lead Papa John’s to its next stage of growth. And is a great example of the opportunities Papa John’s is able to provide for hundreds and hundreds of hard working team members who put dignity in their work. As important, Steve has earned the trust and respect of his peers. The Papa John’s Board of Directors, his team members and our franchisees and I’ll look forward to work closely with him to grow our brand around the world. With that I’ll turn it over to our Chief Operating Officer Steve Ritchie for his remarks. Steve.
Steve Ritchie: All right, thanks john. And I’ll start by adding my congratulations to our franchisees and operators around the world for another outstanding quarter. We preach the fundamentals day in and day out, and it’s very satisfying to see how well our system can perform, when we execute at a high level. The fundamentals are in large part, what has enabled Papa John’s to win in the phase of what continues to be in an aggressive pricing and promotional environment in our category. Our promotional strategy employs a comprehensive approach that strikes a local to national balance, between value driven consumer offers and the premium we are able to maintain, given our quality brand positioning. That strategy once again drove strong comp sales growth, during that quarter, both in North America and internationally, as it has steadily and consistently over the years. Our continuous focus to enhance the customer experience remains a key driver of our strong global growth. That strong steady growth has always been a winning formula for us and it’s how we will continue to win in the future by avoiding the highs and lows and delivering steady and sustainable sales growth over time. Another piece to that winning formula is technology. As John noted, technology continues to be an area that is a prime factor in growing our sales and market share. Beyond being the category leader in digital sales percentage we continue to separate ourselves from the competition with our Papa Rewards loyalty program. Not only were we the first to launch a loyalty program in 2010, today we remain the only national pizza company to thank and reward its customers with their loyalty with free pizza. And Papa Rewards has proven to be very popular with consumers. Just how popular is Papa Rewards, well, the best way to determine that is to simply ask consumers, which is exactly what Bond Brand Loyalty, one of the recognized leaders in loyalty marketing did recently in its annual loyalty survey of 6,000 consumers. In the survey Papa Rewards took the top spot and Dining QSR as the favorite loyalty program beating Starbucks, which was ranked second among many others. As exciting as our top overall ranking is, we are equally proud of the fact that one of the key drivers of our top ranking was Brand Affinity. Survey respondents said they were proud to be Papa Rewards members, compared to some other categories where the amount of financial and product rewards was the primary driver. We believe this is a testament to Papa John’s being the strongest brand in the category. One final note on technology. During the quarter, we also continued the rollout of our new point-of-sales system that began in Q1. We continue to expect the new system, which we call FOCUS, to have a positive impact on store-level operations and the overall customer experience. Next, I’d like to briefly comment on our development progress. As Lance mentioned, during the quarter, we opened 47 net global units. Our global development pipeline remains very robust with about 1,200 restaurants scheduled to open globally over the next six years. We continue to receive strong interest from perspective franchisees around the world, and we are very pleased with the tremendous opportunity we have to grow the Papa John’s brand. Turning to our international business, we are very pleased with the comp sales increase of 8.6% for the quarter. We continue to perform very well in most parts of the world, most notably in the UK, Russia and throughout the Middle East and Latin America. Our quality positioning in these markets and most of the other markets around the world continues to resonate with consumers. For how unique various parts of the world can be, one thing remains very consistent. Consumers around the globe simply prefer a better quality pizza. As Lance mentioned, however, we still have opportunities for improvement in our corporate-owned China, units in China. We are tackling those opportunities head-on from operations to marketing and expect our efforts to have a positive impact in the near future. In fact, just last week, we announced a partnership deal for Papa John’s – is the official pizza sponsor of the Guoan football club in Beijing. While it is very early, we are pleased with the reaction from their fans and are optimistic that this partnership helps increase brand awareness and sales in the Beijing market. So we continued to remain bullish on the long term prospects of China and our entire international business. I’ll close by saying overall I’m very proud of what we accomplished in the second quarter and the first half of the year. Our talented and dedicated franchisees, operators and team members, remain committed to delivering on our better ingredients, better pizza brand promise, which makes us optimistic about the long-term health of the Papa John’s brand. And with that, I turn back over to Lance for questions.
Lance F. Tucker: Thanks Steve. Candice I think we are ready for questions.
Operator: (Operator Instructions) And our question comes from the line of Alex Slagle of Jefferies. Your line is now open.
Alexander Russell Slagle – Jefferies & Company, Inc.: Thanks. I just had a question on international. Wonder if you could expand on your comments on the headwinds and the opportunities in China? And any comments on the issues taking place in that country with the supplier OSI, if you are impacted in any way related to that?
John H. Schnatter: Alex this is John, I’ll kind of hit it at a high level and turn it over to Steve or Lance for some color. Beijing was slightly positive last week, South China and Shanghai were slightly negative, and so we’re getting to do it okay. It’s something that you don’t want to happen. But the good news is we don’t have a lot of exposure in China yet. And with that being said, we need to filter China out a lit bit, I think, we need to do a better job.
Steve Ritchie: Our corporate-owned stores in Beijing, as Lance alluded to, and I did as well, and John, we had opportunistic growth forecast for 2014. We are slightly behind that performance. So it’s a testing ground for us, or Beijing corporate-owned restaurants. So as we continue to learn, the good part of that is that’s what’s going to drive the learning overall for us specifically within Asia long-term. So I’ve been pleased with the unit economic side of it, but we’ve got opportunities from a sales standpoint in our corporate-owned China business. On the OSI question, Alex, first I’d like to reiterate food safety and quality and integrity of our ingredients remains top priority for Papa John’s and obviously we want to say and do what we say in terms of better ingredients, better pizza in our slogan, we live and breathe that everyday around here. OSI was a supplier for us, but it was a contingency supplier. We had five restaurants in tests. So it is not a primary supplier. So within 24 hours we’re able to remove the product from the restaurants, had no impact to our menu and went back to our primary suppliers. So, slight impact to sales. We’ve been continuing to monitor that, but no material impact on our consolidated full year results.
Alexander Russell Slagle – Jefferies & Company, Inc.: Okay. And then a quick question just on the U.S. commissary profits weighing on the overall margins this quarter. I know you talk about the strategy for managing this profit on an annual basis. But might be helpful if you could provide a little more perspective on why this quarter was so weak from a margin perspective? If there’s anything unusual beyond insurance claims or anything else one time in nature that shifts to another quarter later on? 
John H. Schnatter: Alex, this is John. In theory my two direct reports are the consumer, I mean the product and service are not good. It’s only in the Food service. And the relationship we have with our operators and our franchisees, it’s paramount to me as far as discipline and honor and most companies start out with a franchise system and then they take advantage of the system and they lose it. We’ve never done that and we won’t do that. So, let me put the context of what happened with Food service in Q2. Q2 of 2013 was actually a little stronger than it was supposed to be. So it kind of made Q2 of 2014 look a little weaker. That’s easily rectified in Q3 and Q4 this year, because we will make our margin, as Lance pointed out, for the full year. And furthermore, we’re bringing in our drivers and our transportation in-house and there’s some cost there that we anticipated, but we probably underestimated a little bit. With that being said, we now have an excess of drivers, and we’re doing a lot better job with our service times and our accuracy. So it hurt us a little bit in the quarter. I think we do need to look at a remedy to maybe smooth it out. We’re meeting with our FAC next week and – because the street gets a little nervous when things bounce around even though it will smooth out for the year. I’ll let Lance or Steve tackle how we might want to remedy this in the future because it does have bad opt ticks. It is a captive audience, it is very easy to fix.
Lance F. Tucker: Yeah Alex this is Lance, so I’ll jump in real briefly here. As John noted one of the important things to us we always want to manage that franchisee relationship and do it appropriately. What we are going to do though we recognize our process, it makes it hard to just reliably predict what the numbers are going to be for food service, so we are going to explore some options that may allow us to do some pricing more frequently. So we got more to come on this the next time we talk, but we’re certainly going to explore is there a way to meet both goals and make it a little less volatile, while at the same time, making sure we’re doing what we’re committed to do with our franchisees.
Alexander Russell Slagle – Jefferies & Company, Inc.: Great. Thank you.
Operator: Thank you and our next question comes from the line of David Carlson of KeyBanc. Your line is now open.
David Richard Carlson – KeyBanc Capital Markets Inc.: Hello. Hope everyone is well. John, I had a question for you and then I had a follow-up question. With respect to the FOCUS rollout, was hoping you could discuss some of the features of the new point-of-sales system, and maybe some of the ways that the new system can help better provide a better guest experience? I think that was alluded to by Steve earlier in the call. Then also, I know you said that you plan on having most of them, or rolled out for most of the system by the end of 2014. Was wondering if you could tell us what the percentage you currently have it in right now, and what the percentage you expect to have it in the North American system by the end of 2014? 
John H. Snatter: Yes Dave this is John. I will give you the best I’ve got and turn it over to the experts here. The FOCUS is about 830, 840 restaurants, we hope to finish this Q3 with between 1,300 and 1,600 restaurants. And we’ve been very consistent there. Until we get through Q3 and we feel like we got arms around this deployment, because when you are doing 15 to 20 computers a day, there’s some hard calls that Lance noted there’s also some soft tangible calls, because you’re putting a lot of labor and a lot of resources toward this rollout. So we did this back in 1995 and 1996, since Kelly and her team are just doing an outstanding job, this is much smoother. We’re eight periods through the year. Our $1.60 EPS, as I’ve said, is the bottom. So we try to stick to that, and then hopefully we’ll get to Q3 and have at least have the system rolled out. We’ll have by then nine periods under our belt and we can get back to really the main thing that’s driving shareholder value. As far as the thing that I like, difference between the old system and the new FOCUS system is that can actually do FOCUS. And it’s kind of like relating the razor phone to the iPhone. So the training is a lot quicker. New team members adapt to it. The people that have been on profit for years and years they adapt to it rather quickly. And all in all it is as disruption, but the feedback we’re getting is extremely positive and I’m very excited about this frankly. I just want to get it rolled out. This is our headwind for 2014. We’ve known that. We’ve said that. With that being said, I think we’re doing quite well getting through it. Lance? Cynthia?
Steve Ritchie: Hey, David, it’s Steve. I’ll cover maybe a couple more things to get to some specifics. Let’s talk about the priorities first and with any technology initiatives whether that’s an online or an off-line and the box initiative, our priorities are to enhance the customer experience. So that’s our number one goal in this. But there are a number of things on the specific side to what John was alluding to. We’ve had the current POS system in the restaurants for 18 years. So we are operating all the hardware. So order entry is the first key to improve speed and accuracy, which again, back to the customer experience. What we’ve also added is a state-of-the-art, I’ve talked about this before, graphical driver dispatch system, which uses GPS technology to improve speed of service at the door. That comes with features in terms of suggestive routing and other things that are really industry specific to Papa John’s and really puts us at a competitive advantage. The other is labor management. So we’ve added a labor management system that really takes us to the next level. Those are things not only on the customer experience side, but those are the things as we look into 2015 to drive efficiencies in the box and to see additional labor leverage like we saw in Q2 on the line for our corporate restaurants and drive efficiencies for our franchisees. And then lastly, back to the hardware side as well, we’ve added biometrics. That biometrics will help with loss prevention and also drive accuracies and the way that we measure our business. So, a number of things that we look to pick up from the focused POS system, David. However, it’s early, very early on. We’re in a transitional phase in 2014 and we really see the benefits as we move into 2015.
Lance F. Tucker: And, Dave, this is Lance. Just on the numbers, very quickly. As Steve and John have noted, we are pretty well on track here. So we do have the numbers embedded within our guidance, which is about an $0.08 overall hit to the year versus last year for FOCUS and John kind of referenced the midpoint of our guidance there. That FOCUS is in fact included in our guidance of $1.64 to $1.72. The net number has not changed since the beginning of the year.
David Richard Carlson – KeyBanc Capital Markets Inc.: Perfect. And then just one follow-up on the conversation about the domestic commissary business. I’m guessing that in the filing you guys were talking about some of the ongoing initiatives of the domestic commissary. I’m assuming that means bringing the drivers in-house that you alluded to a few minutes ago. Is that correct?
Lance F. Tucker: Dave, this is Lance. It is in fact correct. That’s easily the biggest part.
David Richard Carlson – KeyBanc Capital Markets Inc.: Okay. And then, what do you see in terms of continuation of that? I just wanted to make sure that I heard you correctly. Your expectation is for the profit dollar to be roughly in line with last year, not the margin percentage, correct?
Lance F. Tucker: It’s actually the margin percentage, Dave, not the profit dollars necessarily. We manage the business to an agreed upon margin with our franchisees. We always have. And so what we’ll be doing is managing to that overall full year percentage.
John H. Schnatter: And, Dave, this is John. The franchisees want that profit margin to be less. The shareholders want it to be higher. So, there’s a constant dynamic there of – that dynamic tension. So, if you look at the money we have invested in the commissary, it’s about a 30% return and we think that’s a healthy return and we don’t want to mess up a good thing.
David Richard Carlson – KeyBanc Capital Markets Inc.: Thank you, guys.
Operator: Thank you. (Operator Instructions) And our next question comes from the line of Mark Smith of Feltl and Company. Your line is open.
Mark E. Smith – Feltl and Company, Inc.: Hi, guys. Can you give us any breakdown on ticket versus traffic? And if you still feel like you’re able to get premium prices, especially on some of your limited time offers?
Steve Ritchie: I’ll start. Mark, it’s Steve. And I think, firstly, I’d say, obviously we haven’t given specifics on traffic or ticket. What I can say in 2014, if you look at our 2013 through the first couple of quarters, you would know this from a national pricing standpoint. We have had a slight increase. So you’re going to see a little bit more coming from the ticket side than the traffic side in 2014. We’re also – complementing the ticket is the product mix. We’ve done some things if you saw in the fourth quarter of last year and a continuation of side items, specifically our Chocolate Chip Cookie has performed very well for us. So those things are complementing to ticket. And we’ve also looked at some shallow discounting as we’ve got a very balanced comprehensive approach from our national marketing to our local that provides flexibilities for our franchisees. So that kind of talks through how we’re able to really leverage and drive the margins that we were able to drive as you saw on our corporate segment. Maybe I’ll let Bob Kraut speak to you some of the promotional pieces or to add on to that.
Robert C. Kraut: This is Bob. I think our calendar process that we have instituted this year has complimented this pricing strategy very well. We’ve had some very, very high performing new limited time offers. Of course, you know the history of the cookie, which has been a strong performer for us. We also in the P2, P3, we had a very strong LTL performer at price of $12, which was our double cheeseburger pizza, followed by a double pepperoni and bacon and then the Greek came in P6 also priced at $12 and performed very strongly. What we believe in terms of having a strategy for the calendar in the pricing is to really have a good balance between giving customers more value for the money at the higher price point, but also blending at specific times of the year, which were a little bit more value conscious with the promotional deals that offer customers a strong value. So we believe that strategy has worked, successful, and probably will be something that we continue.
John H. Schnatter: Yeah, Mark, this is John. To kind of take it to a big picture and the reason why I own so much of the company is and believe in what we’re doing is, we’re just really good at running restaurants and we’re good at building restaurants and we’re good with supply chain logistics from soup to nuts. And the Lance runs the office, Bob Smith runs the culture and we’re pretty good markers. The brand is very strong. I have been back in building for about five and a half years and this is the first time we’ve ever been in a really, really proactive position with our marketing. Now, we’ll have a little bump in the road here and there, but we’ve got the calendar done through the next year. We’ve never been that proactive, so I compliment Bob and Jim and Melissa and Pat and the whole team because it’s good to be in a proactive position.
Mark E. Smith – Feltl and Company, Inc.: Okay. Next, I’ll just beat on the commissary margin just a little bit more. On the timing there, as you managed that on a full-year basis, is that similar to the old days with VIBP, an overtime rolling 12-month? Or are you able to manage that to a fiscal-year basis on margin?
Lance F. Tucker: Mark, It’s Lance. We do our very best to manage that on a fiscal year basis. So you’ll see some variations within the quarters, but generally on a full year, we’ve done a pretty good job of coming in right about where we said we were. There is a little bit of our – it is not all science, but by and large, we do a pretty good job with that. I would expect this year again you’ll see – if you look into our guidance, you’ll see Q3 and Q4 look a little bit better than Q1 and Q2 did from a market standpoint.
Lance F. Tucker: And, Mark, this is John. This is the real easy thing to fix, but again it’s captive. The problem is when you set it for a quarter and you got runaway prices with pork and beef and green peppers, it hurts the margin. So I think we need to something to rectify that, because this is not a fundamental issue. This is just an optics issue. That makes the street a little nervous and we get that and we’re going to fix it. We’ll rectify it.
Mark E. Smith – Feltl and Company, Inc.: And last question, just looking at the EPS guidance being maintained here. Given where you sales guidance has come up, restaurant franchise margin, cheese maybe getting a little easier here and your ability to get back to the margin and the commissary business. Can you talk about maybe – where you may be conservative on the EPS guidance, or was there enough of the point-of-sale rollout in extra costs and G&A and other places later in the second half that are, I guess, maybe impeding earnings growth here in second half?
Lance F. Tucker: Mark, it’s Lance. I’ll start and others can jump in if needed. What we always try to do is give you a guidance number we believe is realistic. So we have kept it at $1.64 over to $1.72. We feel like that’s realistic. The biggest headwind that we see to be direct is a commodity market that will stay high. Through the second half of the year if the quote-unquote experts are right, and certainly the full year cheese number right now as of last Friday was $2.08, which is a big hit to our P&L given that we do own 20% of our stores. You see beef staying up, you see pork staying up. I won’t waste time going through all that. You know that. We just look where commodities are and with some of the investments we’re making, that we think are going to benefit us long-term, we just feel like that’s the best range for us to be in based on what we know today.
Steve Ritchie: And, Mark, it’s Steve. I can add a whole lot to that and, obviously, guidance’s range. I think we got a good forecast and a good predictability around how we look at the guidance on a full year. With that being said, the last several years, we’ve raised the guidance because of the predictability and the performance of our restaurants. So, third quarter in a row, industry-leading comp sales performance. If you look at the two quarters ahead of us, Q3, the rollovers aren’t too bad, but Q4 we got a big mountain to rollover. But there’s certainly the performance that we see in the first couple of quarters and the last three would continue. Those are things that would have optimism to it, but I feel like we got our arms around that really well. And our International segment is the other one. As we had spoken to China and the improvements we continue to drive in that side of the business, these are things that we have optimism in, but again feel confident we’re within that range.
John H. Schnatter: Mark, specifically on Food Service, we know we’re going to manage that to a full year number, so the fact that it was low in the first half, going to be may be a little better in the second half, doesn’t change our overall guidance outlook.
Mark E. Smith – Feltl and Company, Inc.: That’s fair, thank you.
Operator: Thank you and I’m showing no further questions at this time. I will now like to turn the call back over to management for any further remarks.
Lance F. Tucker: Candice, thank you and everybody for being on the call thank you very much. We will talk to you next quarter.
John H. Schnatter: Thank you guys.
Lance F. Tucker: Have a great day.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program and you may all disconnect. Have a great day, everyone.